Operator: Good day and thank you for standing by. Welcome to the Antelope Enterprise Holdings Limited Second Half and Fiscal Year-End 2020 Earnings Conference Call.  Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your speaker today, Mr. David Rudnick. Please go ahead, sir.
David Rudnick: Very good. Thank you. Good morning, ladies and gentlemen, and good evening to those of you who are joining us from China. Welcome to Antelope Enterprise Holdings Limited's Second Half and Fiscal Year-end 2020 Earnings conference Call. With us today are Antelope Enterprises Chief Executive Officer, Ms. Meishuang Huang; and the Chief Financial Officer, Mr. Edmund Hen. Before I turn the call over to Ms. Huang, I would like to address forward-looking statements that may be discussed on the call. Forward-looking statements involve risks and uncertainties and include, among others, risks regarding revenue, operating expenses, other income and expense, taxes and future business outlook. Actual future performance, outcomes and results may differ materially from those expressed in forward-looking statements.
Meishuang Huang: Thank you, David. On behalf of the company, I would like to welcome everyone to our second half and fiscal year-end 2020 earnings conference call. During the fiscal year 2020, we experienced challenging market additions as impact of the COVID-19 pandemic outbreak had a material adverse impact on the demand for our products, with customers both having canceled and delayed their purchases awaiting the normalization of business activities. We instituted a 15% price decrease in late 2019 in order to sustain our sales volume as well as retain customers for future business. This mitigated what we believe would've been a greater decline in sales as compared to the modest decrease in sales volume that occurred in the second half of the year as business conditions due to the COVID-19 pandemic began to normalize. For fiscal year 2020, we utilized production facilities capable of producing 4.2 million square meters of ceramic tiles per year out of the company's effective total annual production capacity of 51.6 million square meters of ceramic tiles. Consistent with our practice in past periods, we maintained a reduced utilization of existing plant capacity based on the current market environment to keep our operating costs low. We intend to bring additional capacity online as the business environment improves. We remain focused on diversifying our operations to fuel our growth. While we remain committed to our core business, our 2 subsidiaries, Chengdu Future, which provides computer consulting, and Antelope Chengdu, which developed fintech software, generated RMB 7.2 million or USD 1.1 million in income in 2020. China's real estate market has been resilient in the wake of COVID-19 pandemic. And in the long term, we believe that the building materials sector will grow due to urbanization, innovative property development and upgrading of neglected housing stock. Further, we plan upon securing customers in the larger Southeast Asian market out of China to capitalize upon new building construction that is happening in this region's urban areas.
Edmund Hen: Well, thank you, Ms. Huang. I will now turn -- I will now move on to a more detailed discussion of our financial results for the 6 months ending December 31, 2020. Our revenue for the 6 months ended December 31, 2020 was RMB 143.2 million or USD 21.1 million, a 4.6% decrease from RMB 150.2 million or USD 21.4 million for the same period of 2019. The year-over-year decrease in revenue was due to the 9.1% decrease in average selling price to RMB 21.8 or USD 3.34 for the second 6 months of 2020 versus the year ago period, which was offset by a 4.8% increase in sales volume as compared to the same period of 2019 to 6.6 million square meters for the second half of 2020. We instituted a 15% price decrease in late 2019 in order to sustain our sales volume as well as to retain customer for future business. Our average selling price decreased for the second half of 2020 as compared to the same period 2019 since the 15% price decrease was in effect for only 2 months in the latter period. Also, our sales volume grew sequentially from 1.8 million square meters of ceramic tiles in the first half of 2020 to 6.6 million square meters of ceramic tiles in the second half of 2020 as business conditions in China began to normalize. Gross loss for the 6 months ended December 31, 2020 was RMB 26.9 million or USD 4 million compared to gross profits of RMB 66 million or USD 9.4 million for the same period of 2019. Taking into account is reversal of inventory impairments for 6 -- for both 6 months previous. The gross loss margin was 20.4% in the second half of 2020 as compared to a 6.2% gross profit margin for the same period of 2019. Other income for the 6 months ended December 31, 2020 was RMB 12.2 million or USD 1.8 million as compared to RMB 7.5 million or USD 1.1 million for the same period of 2019. Other income consists of rental income the company received by leasing out one of its production lines from its Hengdali facility pursuant to an 8-year lease contract. And the income contributions of RMB 7.2 million or USD 1.1 million from our newly incorporated subsidiaries, Chengdu Future and Antelope Chengdu, who are engaged in computer consulting and software development, respectively. Selling and distribution expenses for the 6 months ended December 31, 2020 was RMB 4.2 million or USD 0.6 million. It slightly decreased RMB 5.6 million or USD 0.8 million for the same period of 2019.
Operator:
David Rudnick: Very good. Thank you. On behalf of the entire Antelope Enterprise management team, I want to thank all of you for your interest and participation on this call. This concludes Antelope Enterprise's Second Half and Fiscal Year-end 2020 Earnings Call. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.